Operator: Good morning, and welcome to the First Quarter 2014 Earnings Release Conference Call for FMC Corp. [Operator Instructions] I will now turn the conference over to Ms. Alisha Bellezza, Director of Investor Relations for FMC Corp. Ms. Bellezza, please, you may begin.
Alisha Bellezza: Thank you, Keely. Good morning, everyone, and welcome to FMC Corporation's first quarter earnings call. With me today are Pierre Brondeau, President Chief Executive Officer and Chairman, who will review our quarter performance, business segment results and provide an update on our 2014 outlook; and Paul Graves, Executive Vice President and Chief Financial Officer, who will present select financial results. Pierre will conclude with an update on the plan to separate into 2 companies. Following his comments, we'll be joined by Mark Douglas, President FMC Agricultural Solutions; Ed Flynn, President FMC Minerals; and Mike Smith, Vice President and Global Business Director, FMC Health and Nutrition, to address your questions. Today's discussion will include forward-looking statements that are subject to various risks and uncertainties concerning specific factors, including, but not limited to, those factors identified in our release and in filings with the Securities and Exchange Commission. Information presented represents our best judgment based on today's information. Actual results may vary based on these risks and uncertainties. Today's discussion will focus on adjusted earnings for all income statement and EPS references. A reconciliation and definition of these terms, as well as other non-GAAP financial terms that we may refer to during today's conference call, are provided on our website. Our 2014 outlook statement, which provides guidance for the full year and the second quarter of 2014, can also be found on our website. I will now turn the call over to Pierre.
Pierre R. Brondeau: Thank you, Alisha, and good morning, everyone. In the release, you saw that we generated $942 million in revenues, an increase of 3% over the first quarter of last year. We delivered $0.95 in adjusted EPS, a decrease of 12% over last year, largely due to lower earnings in Agricultural Solutions. This was driven by the widely reported weather factors that impacted the entire industry. Combined with currency movements, the lower ag performance reduced EPS by approximately $0.30 compared to the guidance we gave just over 3 months ago. Offsetting this, were strong results in Health and Nutrition and Minerals, with both segments returning results in line with our guidance and well ahead of the same period last year. First quarter sales in Agricultural Solutions were $467 million, down 6%, and segment earnings were $120 million, down 26%. Segment operating margin was lower compared to the prior year primarily due to unfavorable foreign exchange impacts, continued investments in sales, marketing and technical personnel and changes in product mix caused by difficult weather conditions. As we mentioned on our last earnings call, we were encouraged by the prospects in North America and Brazil, and we had expected segment earnings to be up low-teens percent. We had seen strong early demand in North America for 2 emerging products: Capture LFR insecticides and Authority herbicides. The increasing concern over corn rootworm and glyphosate-resistance supported our expectation that these brands would continue to outpace market growth throughout the first and second quarters of 2014. However, as the actually cold weather persisted throughout the quarter and into April, farmers delayed their use of these products, and it became clear that product wasn't moving through the distributions channels. In Brazil, our results were impacted by the record-breaking drought in São Paulo state. This is the region that represents 61% of the country's sugarcane market, the market in which FMC holds over 20% share with a broad portfolio of insecticide and herbicide. Our herbicide products are important in sugarcane, as they control difficult weeds that can severely impact yields. The drought conditions reduced crop replanting that would have normally taken place during this growing season, resulting in fewer herbicide applications compared to the previous year. Compared to our initial guidance, the adverse weather conditions in North America and Brazil reduced adjusted earnings in the first quarter by approximately $0.25 per share, with unfavorable currency movement, reducing earnings by a further $0.04 per share. Looking across quarters, we had a very successful 2013-14 season in Latin America. We are extremely pleased with the advances that were made in expanding our Latin American soybean presence and our market position in these crops, such as tomatoes and potatoes, segments that leverage our portfolio of insecticide and fungicide. In Brazil, we successfully launched Locker, a new 3-way fungicide for soybeans, and we gained traction with Talisman, a broad-spectrum insecticide for use in both soybeans and cotton. We also grew in Southern Brazil by expanding our relationship with cooperatives and further strengthening our most important customer relationship with another successful year of customer events. As widely reported, planting in North America remains later than historical averages. We now believe that the combination of delayed planting and lower corn acres could result in fewer applications of Capture LFR to control corn rootworm. However, we remain confident that the change in crop mix toward additional soybean acres will be favorable to us and will drive increased demand for Authority brand in herbicide. These products provide superior control of glyphosate-resistant weeds from growers throughout the Midwest and South. We also continue to focus on our strong presence in these crops, such as sunflowers and rice, that contribute to growth opportunity in this region. In 2014, we are strengthening our portfolio with several new product introductions into key segments within both North and Latin America. We have developed 3 new herbicide products for corn, Anthem, Solstice and Marvel, which will complement our resistance management portfolio in North America. Additionally, in the second half of the year, we expect strong market reception in Brazil, as we introduce our new cotton fungicide, Eclipse, and expand our Rugby insecticide into soybeans. Our strong customer relationships, along with these new product introductions, would allow us to further benefit from the expected increases in soybean and cotton acres. With the second quarter earnings increasing high teens to low 20% and the second half up approximately 35% versus the previous year, we expect that 2014 will follow a different pattern from our original outlook. However, a second half year-on-year increase above 30% is not unprecedented and is actually in line with what we have seen in recent years. We will compensate for the potential loss of some Capture LFR sales in North America in multiple ways. There will be a recovery in Q2 and early Q3 of delayed first quarter sales. We are seeing a favorable change in crop mix toward additional soybean acres in Brazil and North America, combined with a strong cotton and soybean planting season in Latin America in the second half of the year. We continue to gain market share in corn, soybean and cotton, driven by the strong portfolio of new products. Given these factors, we are highly confident in achieving outlook of mid-teens percent year-on-year growth in 2014, leading to another record year of earnings. In conclusion, our existing portfolio continues to demonstrate its resilience. We continue to gain market share in soybean and corn, and we are successfully introducing new products, including the 7 major brands already mentioned today. In addition, we have a very rich pipeline of products in development, including our Biosolutions research. Our innovation engine will continue to make FMC the fastest-growing ag company for years to come. Now turning to Health and Nutrition. Segment revenues of $226 million increased 18%, and operating profit of $51 million was up 17% over last year. In the quarter, demand for colloidal MCC and carrageenan-based ingredients increased in Nutrition end markets. We continue to work closely with our customers to help develop new applications for protein delivery such as our non-milk in North America and cereal-based beverages in Asia. Our new Thailand MCC plant, which is expected to start at the beginning of 2015, will support our growth in Asia. In Health end markets, we saw robust demand for our pharmaceutical excipients, especially binders, which was consistent with our expected growth rate and confirmed our view that overall pharmaceutical demand has returned to historical growth patterns. Our Avicel platform continues to benefit from a strong brand recognition. As we expand our product portfolio to include new encapsulation solutions and Omega-3 offerings, we expect to leverage our resources and deliver higher growth rates from our Health portfolio than we have seen historically. In Omega-3, our new Seal Sands facility received the necessary regulatory approvals, and we delivered our first customer shipments of pharmaceutical-grade products. Seal Sands utilizes advanced technology to manufacture high-purity, high-concentration products that command a premium price over low-concentration Omega-3 and is essential for pharmaceutical-grade applications. We were pleased to see 3 new prescription formulations of Omega-3s approved by the FDA earlier this year. We see this as a positive development for near-term demand for our products. Our technology allows us to efficiently serve the pharmaceutical market and, over time, will enable cost-effective penetration into the high-concentration Nutraceutical end markets. The Health and Nutrition business faced some headwinds during the first quarter. Asian currency movements and continued increases in seaweed cost had a modest impact on business performance. We have been working closely with customers in successfully offsetting this higher cost through a combination of price increases, ingredient substitutions and reformulation that create new solutions to meet their market needs. Looking forward, in Health and Nutrition, we expect second quarter segment earnings to increase low-teens percent over the previous year. In light of the strong first quarter performance and trends in the Health and Nutrition end market, we continue to expect that full year segment earnings will increase mid-teens percent. Now let me review Minerals. In the quarter, revenues of $249 million increased 11%, and operating profit of $37 million increased 27%. The businesses performed as planned, with improved operations, resulting in additional production volume. In Alkali Chemicals, revenue of $185 million were 2% higher than last year. As anticipated pricing, excluding freight charges, was above the previous year, the most notable increase in Asian export prices. Higher products and volume in the quarter also contributed to the sales growth. Revenues increases were partially offset by higher energy cost. Prolonged cold weather contributed to a spike in natural gas prices that was unfavorable in the quarter. Additionally, our contract prices for coal were higher than last year. We are looking at alternatives to reduce this cost, including renegotiation of our coal contract and alternative supply sources. In Lithium, revenues of $64 million increased 45% over the previous year. Higher volumes out of Argentina allowed us to take advantage of increased demand for Lithium, particularly in energy storage application. Pricing remained stable during the quarter, with product mix more heavily weighted toward primaries, which account for most of the volume growth. The business achieved a low-teens operating margin in the quarter despite continued inflation headwinds in Argentina. We expect the operating margin to continue improving sequentially throughout 2014. Looking at the second quarter, segment earnings in Minerals are expected to be up low-teens percent over the second quarter of 2013, driven mainly by increases in volume. For the full year, we expect segment earnings to increase high-teens percent in 2014. As we described during our last earnings call, our outlook for Alkali Chemicals only includes price increases that are specified in existing short- and long-term contracts. We remain optimistic that the soda ash pricing environment is improving, and we continue to be very supportive of ANSAC's efforts to pursue additional price gains in export markets. We remain confident that we'll produce record volumes as we operate within normal geological conditions and continue to benefit from higher products and volumes as a result of the Manufacturing Excellence programs. In Lithium, higher production volumes supporting increased demand will be the largest driver of improved business performance. Increased sales in primaries are expected to significantly contribute to revenue and earnings growth in 2014. However, it is important to remember that more than half of our production is further processed into downstream products. We maintain leading-market position in these downstream segments, and we'll continue to manage our supply to maximize overall margin. We remain confident in our ability to continue delivering operating margin improvement sequentially throughout this year. Turning to our outlook. For the second quarter, we expect to deliver adjusted earnings of $1.05 to $1.15 per diluted share, a 17% increase versus the second quarter of 2013, at the midpoint of the range. Although weather resulted in a slower-than-anticipated start in ag, we expect a strong second quarter performance, with segment earnings of high teens to 20% over the second quarter 2013. In Health and Nutrition, we expect to deliver a low-teens percentage increase in segment earnings, driven by strong demand across all product categories and in all major end markets. In Minerals, our outlook includes continued Lithium margin improvement and sequential pricing improvement in soda ash. This combination, along with higher production volume in both businesses, is expected to increase segment earnings by low-teens percent compared to the second quarter 2013. For the full year, our expectation of adjusted earnings continues to be $4.35 to $4.55 per diluted share, a 15% increase over 2013, at the midpoint of the range. We are maintaining our outlook for full year revenues in segment earnings in Agricultural Solutions to be at mid-teens percent over the previous year. The second half of the year is expected to show strong results, driven by increased soybean and cotton acreage in Latin America, improved sugarcane production in Brazil, new product introduction and our investment in market access channel around the world will continue to strengthen our customer relationship. We are confident 2014 would be another record year for ag, building on the 10 previous years of record performance. In Health and Nutrition, we anticipate full year revenue growth of mid- to high-teens percent, with segment earnings up mid-teens percent over 2013. We see strong market demand for our stability and texture solutions in Nutrition end markets, and we are extremely pleased with how our Health ingredients portfolio is performing in markets that exhibits solid underlying growth. In Minerals, both Alkali Chemicals and Lithium will deliver record annual volumes in 2014 as a result of our Operational Excellence programs. We see strong market demand in Lithium and favorable pricing trends in soda ash. We continue to expect segment revenues to increase in the mid- to high-single digits percentage and segment earnings to improve high-teens percent over 2013. I will now turn the call over to Paul to cover financial highlights.
Paul W. Graves: Thanks, Pierre. Today, I'll focus on a few specific items that were notable in the quarter, including foreign exchange movements and cash generation. I will also touch on capital spending, the closing of the Peroxygens transaction and separation costs incurred to date. As Pierre mentioned, foreign exchange was a headwind in the quarter. Across all of the businesses, unfavorable currency movements impacted adjusted EPS by approximately $0.05. In particular, adverse movements in the Brazilian reais, a range of Asian currencies and the Argentine peso all hit our reported earnings despite a counteracting favorable movement in the euro. We continue to mitigate our exposures with appropriate hedges wherever practical. This quarter was an unusual one, with multiple factors contributing to lower-than-expected operating cash flow. In the quarter, cash required by operating activities was $85 million. The largest single factor was the lower EBIT performance in Agricultural Solutions, although some temporary working capital increases in Health and Nutrition and lower receipts from government receivables in Lithium also contributed to the lower performance. The second quarter is traditionally our strongest cash generation quarter, as a significant proportion of our Latin American season sales are collected. We expect this year to follow a similar pattern. Our actions to reduce our working capital remain on track, with significant progress made today on inventory levels in Agricultural Solutions. We're now rolling out similar programs in Health and Nutrition. We have initiated programs focused on our terms of sales in every business and have commenced the final step in implementing a global procurement system that will allow us to take a more dynamic approach to how we handle payment terms to our vendors. As we've said before, we remain very focused on increasing our operating cash flow, but we will tread very carefully around any major changes to our working capital policies, given the importance of the use of working capital to support our customers and our business model. We expect to see the benefits of our efforts to start to show later in 2014 and into 2015. As expected, capital additions were approximately $47 million in the quarter, compared to a total of $26 million in 2013. Increased spending in the quarter was primarily associated with construction of the Thailand MCC facility, which remains on track to begin commercial sales in early 2015. In the quarter, we completed the sale of Peroxygens, receiving net after-tax cash proceeds of $193 million. With regard to the separation process, we incurred approximately $3 million in separation cost in the quarter, largely a result of spending on external advisers. We expect that costs to increase in the next few quarters, as we start to execute on the complex process of separation. We are currently performing a thorough review of the expected additional costs, and we'll report an updated estimate with our second quarter results. Finally, in the quarter, we announced an 11% increase in our dividend rate, in line with the earnings growth we delivered in 2013. With that, I will now turn the call back to Pierre.
Pierre R. Brondeau: Thank you, Paul. Before we turn to Q&A, let me brief you on the separation activities. We have made steady progress since announcing our plan to separate FMC into 2 publicly traded company. A dedicated program management office is in place to manage the separation-related activities. Work on this complex separation is well under way, and the P&L model ensures that our business teams can remain focused solely on their operations. We have named several internal leaders who will be aligned with each new company. And importantly, our search for a CEO for FMC Minerals is progressing well. We expect to make an announcement about this in the second quarter. The separation process is complex, but we are confident that we are on track to complete the transaction in the first half of 2015. We will continue to update you on our progress over the coming months. Now I will turn the call over to the operator for questions. Operator, please?
Operator: [Operator Instructions] Our first question will come from the line of Kevin McCarthy of Bank of America.
Kevin W. McCarthy - BofA Merrill Lynch, Research Division: Can you discuss how the weather-related impacts might have broken out between North America and Latin America and, basically, the polar vortex versus the drought-related pressures that you referenced in São Paulo?
Pierre R. Brondeau: Yes. I would say, as you know, the first quarter in Latin America is much smaller in size than our business in North America, where usually the first quarter is a much larger quarter. So if you'll look versus our expectation, by far, the biggest gap will reside in North America. That is where we were expecting to have the biggest sales because of the dedication. Now on top of that, which did not help, we had slower sales in Brazil than what we would be expecting. But once again, it doesn't help in a situation which is difficult from a weather standpoint, but the vast majority of the gap came from delay in pre-emergent planting, pre-emergent product. There was a delay also in Capture LFR for us for corn, so the vast majority of the problem came from North America.
Kevin W. McCarthy - BofA Merrill Lynch, Research Division: So, Pierre, just a follow up on that. You obviously left your annual EPS range unchanged. Is it a case that these are entirely transitory and you'll make it up in future quarters? Or is some of it lost permanently just due to the vagaries of the season and you have other counterbalancing positives to get to the same place for the annual EPS?
Pierre R. Brondeau: Yes. I think it is the latter. First, what we lost in Brazil, if you look at a quarter when the season is back end of the year, is lost. But it's not that critical in size. So the focus in terms of what did not happen in the first quarter should be on North America. A large part of what was not sold in North America will be sold -- will be recovered throughout Q2 and Q3. That, we know. But we believe, especially for corn and Capture LFR, we believe that there is some sales which are being lost, and that's why you don't see a complete transfer of what was lost in Q1 into Q2. We won't have a robust Q2, but you will not see a 100% transfer. But there is mitigating factors, which I see, if I look to the future, as overwhelmingly positive. First, there is, for multiple reasons, I'm sure you have heard, there is a transfer to more soybean crops, which for us, is important as our market share in soybean is much stronger than our market share in crops. There is, today, a strong planting season with solid acreage increase in Latin America, possibly beyond what we're expecting. Most importantly, we have introduced multiple new products. I mentioned in the script 7 new brands we've put on the market. And I have to say that those products are taking off very, very strongly and seeing a very strong demand. So if I look at where we are, the possible loss we could see in one specific product, which is for corn, will be more than compensated by what we see happening around that and a penetration of new technology.
Kevin W. McCarthy - BofA Merrill Lynch, Research Division: I appreciate the color, Pierre. Last question, if I may, maybe for Paul. Can you discuss your payment terms by region and/or product line and how they might change in the future, if at all, as you increase your focus on working capital?
Paul W. Graves: I think if I was to go through payment terms for every product and every region, I might take up most of the rest of the call. I mean it certainly varies. If you mean in payment terms, you mean our terms of sales rather than our payment terms, it's certainly the case that, generally speaking, we have our shortest terms in the Americas, North America. We have probably our longest terms, particularly in ag, down in Latin America. Europe tends to be closer to the North American example. And Asia tends to be a bit further out. So generally speaking, as our mix of sale changes towards emerging markets, we tend to experience longer collection terms. Now, as we look forward, I think the question is open for others to how we want to think about going to market with some of our customers and with some of our products. It's early stages in most of our business to have that assessment, so I think it would be premature for me to try and predict what the impact would be.
Operator: Your next question comes from the line of John McNulty with Credit Suisse.
John P. McNulty - Crédit Suisse AG, Research Division: So with regard to your North American ag business, my understanding was, historically, it's always been a very large pre-emergents business. It sounds like that may be changing a little bit where it's more of an even mix. But can you walk us through how we should be thinking about the mix in North America? Or how much is -- what percent, say, is pre-emergents versus post-emergents?
Pierre R. Brondeau: Yes. I'll get Mark to comment. But there is a change. I mean, there is change. Pre-emergent has always been big for us, but we are evolving. And I do say that we are strengthening, also, our position in corn and soybean and beyond pre-emergents. So there is an evolving product line, and we are gaining market share in crops where we've been, historically, claiming were not a target. But we have such a strong portfolio and we are at the size now that, clearly, we are evolving our portfolio with those crops. And I must say, very successfully, with a lot of runway. Mark, you want to add?
Mark A. Douglas: No. I think, John, what I would say there is the pre's are very important to us. They have grown significantly over the last few years, as you know, both on soy for glyphosate resistance and the corn rootworm resistance. But now we're introducing some new suites of products, in particular, Anthem in North America, as a soy herbicide that can be used both as a pre and a post. But we see the post side growing. We're also expanding into corn on the post side. So I think you'll see it creep keep up over the next couple of years as we gain traction with those brands and market access. So definitely, pre's is not going to go away for us. We see resistance acres continuing to grow, especially on the soy side. So you'll see that as a major area, but expect the posts to start to grow and become more of a significant part of the portfolio, especially as we go into the '15, '16 seasons and the next couple of years.
John P. McNulty - Crédit Suisse AG, Research Division: Okay. Great. And then just as a follow-up. I know, historically, there's normally a pretty solid margin drop off from the first half of the year to the second half just because of geographic mix. And I guess I'm wondering how we should be thinking about that in 2014, just given that, again, some of this pre-emergent products is actually moving kind of later in the year on the North American side. So how should we be thinking about the margin progression?
Pierre R. Brondeau: Yes. I think, John, what you're seeing is because there is a push, a transfer, from Q1 into Q2, Q3 so you will see lots of those North American high-margin product being pushed in the second half of the year. So you will have a more uniform or less of a differential in the margin this year because there is a delay in the North American season. So those high-margin product will be pushed into Q2 and into Q3, smoothing out the differential in term of margin.
John P. McNulty - Crédit Suisse AG, Research Division: Maybe one last question, if I could. On the Health and Nutrition side, your outlook for low-teens growth in the second quarter, I guess, why is it, sequentially -- why is that growth moderating, especially when you've got the Omega-3 platform actually, it sounds like, up and running now and it should be a contributor to revenue and profits?
Pierre R. Brondeau: Yes. It is -- that's actually a good question, John. It is just the fact that, today, because we are starting into the Omega-3 business, the orders are a bit more lumpy than for our other products. So we're going to have a pattern of order for Omega-3 as we are starting to sell to some large customers, and we have not yet reached a number of customers such that we'll see a very smooth ordering pattern for the year. We expect to see that much smoother in the '15 and '16. But this year, there will be some lumpiness in Health and Nutrition just because of the order pattern on Omega-3.
Operator: Next question comes from the line of Robert Walker of Jefferies.
Robert Walker - Jefferies LLC, Research Division: I guess, in ag, what is the difference in margins between North and South America? And how much was mix a factor in the Q1 margin decline?
Pierre R. Brondeau: Yes. Go ahead, Mark.
Mark A. Douglas: Yes. Robert, we don't actually disclose the margins between North and Latin America, but they are different. North America is the higher-margin area for us and Latin America tends to be a little lower. Obviously, it depends on mix. Mix is an impact, given where we saw North America come out and where we saw Latin America come out, given the weather conditions Pierre already talked about. But there is a difference between the 2. You can't look at the whole Americas and say that they are the same. And as North America was down versus our forecasts, given the weather conditions, we saw that mix change from a year-on-year.
Pierre R. Brondeau: Without going in too much detail around regional, but to give you a sense for last year, if you take the first quarter, usually, which is very strongly driven by North America, we tend to have an operational margin for FMC ag business, which is north of 30%. Last year, it was 33%, where you usually see a fourth quarter, which is more in the 20s to mid-20s. So that give you a sense -- and the fourth quarter is usually very much driven by Latin America. So that gives you a sense of the difference in mix and product line we are selling in those 2 regions. Just the question John asked around the way our product line is evolving with a change in pre and post mix, we're going to see, potentially, over the years, not this year, this being different and changing, with maybe a smoother differential from a quarter to another.
Robert Walker - Jefferies LLC, Research Division: Okay. And how much of your normal Q2 sales in ag slipped into Q3 because of the delayed planting?
Pierre R. Brondeau: Well, if you look, we were initially forecasting in Q2 in the mid-teens growth. And now we are looking maybe in the low 20s, so that gives you a sense. About 1/3, 1/4 of the growth in the second quarter is coming from Q1 sales. And then we're going to have Q3, but Q3 is a bit more complicated because we're going to have a combination of some of the sales pushed up from Q1. We're going to have a very favorable mix around soybean. And we're going to have new technology. Maybe I can take the opportunity to talk a bit about the second half because I know a 35% increase in the second half of the year year-on-year seems to be like a big number. We are quite comfortable here with that number. First, if you look at historical pattern, look at your '12 versus '11. We had a 37% increase in the second half versus the first half, with a fourth quarter which was up 52%. Even last year, which was not the most spectacular growth, we still had a fourth quarter with a 24% growth year-on-year. So those numbers, from 24% to 52%, don't make this second half that different from historical data. If you look at the way we look at it, it's a fairly simple break. If you take our growth rate to get to the mid-teens, there is 3 big buckets. About 1/3 of our growth is going to come from what we see as acre change and a change in the mix between soybean and corn. There will be 1/3 which will be coming from the market share gain we have in soybean and corn, and most of that driven by new technology. I think it's a trend we see. We like it. Our strategy is evolving. We will be more of a player in larger row crops. And then 1/3 is really new technology for other crops. We've talked about the secondary type of crops. So those 3 1/3s are very well-defined and makes us quite comfortable around the numbers we are contemplating for the second half.
Operator: Your next question comes from the line of Dmitry Silversteyn with Longbow Research.
Dmitry Silversteyn - Longbow Research LLC: I wanted to sort of kick the dead horse one more time on the ag discussion. In the first quarter, obviously, besides North America, you're looking at sort of Northern Hemisphere sales overall as being contributive to the quarter. So if you look at the European sales and Asian sales versus your North American sales, was the North American sales -- in other words, were the regions outside of North America, where the weather was more normal and hopefully you're benefiting just from share gains and new product introductions, were volumes or revenues up in Europe and Asia, even though it's a small business for you, offsetting the weakness in North America a little bit?
Pierre R. Brondeau: If you look -- I'm going to ask Mark to comment in more detail. But if you look, at the end of the day, the first quarter for us is an Americas story and mostly a North American story. I mean, remember, I think Europe is about -- or EMEA is about 6% of our sales and Asia is about 16% of our sales. You put on top of that, that's usually because of our market share in pre product, in pre-emergent product, in North America, and we have the end of the Brazilian season, usually, it's mostly a North American story. So yes, we didn't suffer like other companies did. We didn't suffer. Europe was, overall, healthy, and Asia is in good shape. But Asia, for the rest of the year, we do have some great growth expectations. But in the first quarter, those are too small to influence the -- our numbers. Mark, you want to add?
Mark A. Douglas: Wouldn't add a lot to what you said. I mean, Asia is doing well. We have, as you said, good growth expectations. We have good market access strategies in place in Indonesia, Philippines. We see good growth in China. Europe, as we said, is only 6% of the portfolio, so it doesn't really swing a lot in Q1. But we do expect a number of our activities in Europe to benefit on the herbicide side as we go through the year. So we do expect growth as we go through Q2, Q3 and possibly into Q4 for Europe. But Q1 was not a factor.
Dmitry Silversteyn - Longbow Research LLC: And as a follow up and switching gears a little bit. On the Lithium business, you talked about expectations of sequential margin improvement there through the year. How should we think about where sort of the fourth quarter should end up in terms of margins and where we should -- what we should look for in 2015?
Pierre R. Brondeau: Yes. I think we're going to go this year from a low-teens margin to mid-teens EBIT margin. That's the range we are expecting for the Lithium business.
Dmitry Silversteyn - Longbow Research LLC: Okay. And then in 2015, hopefully, you'll start with low teens -- with mid-teens and go from there?
Pierre R. Brondeau: Yes. Correct, correct. We've always said this business is simply north of 15% EBIT margin when it's operating. So we clearly are on the recovery part. We like what we see. We like our market position. We are able to renegotiate those contracts we've been away from. When I think I said with 45% increase in sales in Lithium, it's a lot of renegotiations to take place on contracts. So it's going to improve to the mid-teens and take off from mid-teens in 2015.
Operator: Your next question comes from the line of Mike Sison with KeyBanc.
Michael J. Sison - KeyBanc Capital Markets Inc., Research Division: Pierre, I appreciate your confidence for the second half there for ag, but can you maybe share some of the risks that you might see in the second half? I mean, some of the North American business, as you noted, was pre-emergent, can some of your customers skip that potentially and just move on? I just want to understand what, maybe, things you need to watch out for potentially.
Pierre R. Brondeau: Well it's the ag world, there is always risk. Let me talk about North America. We are in April. We know the second quarter was a slow start. But right now, I mean, products are moving, so there is no doubt that we are on a positive trend. So the numbers we are giving, at least for the North American part, are quite solid. The question always -- I mean, the question will always be, "Should we suffer from a terrible weather condition, which is not predictable today in Brazil?" You never know that, we don't see it. The demand is robust. The plan for acreage planting is robust. Our new product introduction is incredibly successful beyond our expectation. Listen, I would dare to say, Mike, that it would not -- we would not have had the weather we had in the first quarter, looking at the fact that we will close the year at 15% increase despite the first quarter, we would have had, in our ag business, an absolutely incredible year beyond what we're expecting. That's why we have a level of confidence, which is strong, assuming there is not anything -- we are not -- we could not predict in Latin America in the back end of the year. From the North American market, products are moving, we are following that on a daily basis. But so far, so good.
Michael J. Sison - KeyBanc Capital Markets Inc., Research Division: Okay. And then you talked about 1/3 of the improvement coming from market share in soybean and corn. What is it in terms of the new technology that you're rolling out that is giving you the edge? And then when you talk about that, is that a business that customers have said, "You won this, we'll just take it when we need it"?
Pierre R. Brondeau: I'll let the world ag expert answer this one.
Mark A. Douglas: Thanks, Pierre. Yes, Mike, when you look at soybeans, as an example, and let's take the Latin America acreage, it's a big market. If you go back to 2011, we had about a 3% market share in what was over a $3 billion market. If you look at our business last year, we were at 6.5% market share in a $5 billion market, and that's all coming through our insecticide portfolio and now our new fungicide portfolio. So we're definitely increasing market share. Why are we doing that? We have some technologies that are broad-based. Pierre mentioned in the script a product called Talisman. That was a product we've had for cotton growers for many years, for the last few years, and certainly it's a broad-spectrum insecticide. It's now playing very well into the soy arena, where we see different types of pests coming and the growers want to utilize a broad-spectrum insecticide. We already have, as you know, and we talked about very strong relationships with cotton growers. We have a high market share that allows us to translate that market access to soy. So it's a combination of bringing new technologies like the Talisman, new fungicides like Locker, plus our strong market access and already exposure to current crops. We like that mix and we're going to push more new products down that pipeline as we go forward. I think we've said in the past that about 25% of our portfolio comes from new products introduced in the last 5 years. As we head through 2015, we expect that number to increase to 30%. So we're seeing that throughput of new technologies, and it'll continue at a rate.
Pierre R. Brondeau: I think, Mike, we've talked a lot about R&D model, how we access actives, then do tax and formulations. This technology engine is giving us one of the fastest product invention that any ag firm might have. And we've been, right or wrong, because things have been good so far, but we've been careful on how aggressively we would penetrate the soybean or corn market. But when we see the possibilities we have to resolve some of our issues our customers are facing, and some of the technologies we have, I think we're not going to hold back and we're going to focus as much on crops like soybean and corn as we've been in the past on cotton and sugarcane or other smaller crops like potato or rice. So it's working. And those are new products, which are responding to a changing environment and customer needs.
Operator: Your next question comes from the line of Mike Harrison with First Analysis.
Michael J. Harrison - First Analysis Securities Corporation, Research Division: On the Lithium side, can you comment a little bit on what you're seeing in organometallics, particularly as you get into the ag business, where there have been some changes there?
Pierre R. Brondeau: Could you repeat that question, please? I couldn't understand what you said.
Michael J. Harrison - First Analysis Securities Corporation, Research Division: I was wondering about organometallics within the Lithium market, and if you're seeing any weakness in butyllithium, in particular. I know that you guys have exposure in polymerization, but was wondering if you were seeing weakness in ag or crop protection synthesis products.
Pierre R. Brondeau: Yes. Ed can answer. I mean, there was a major change, where a customer, Bayer, moved away from a product which was using butyllithium. So I would say no weakness for us or our competitors, from a market standpoint, in butyllithium. But certainly, an impact we have been seeing because Bayer was such an important player in that space as a customer for us, that him walking away from a formulation, which was butyllithium-containing, has been creating a hole in this market. But the rest of the market growing fast, it has allowed to, little by little, compensate for that. Maybe, Ed, you want to give more color?
Edward T. Flynn: Not much to add. It was just that the market that's affected is Europe, and we haven't seen any impact in Asia or in the U.S. And there are some rumors that there will be better butyllithium demand in Europe down the road from other products.
Pierre R. Brondeau: So I think the weakness we see in numbers, for me, the way we look at them are more specific-case related than they are an across-the-board weakness. For us, it's been a pretty healthy business.
Michael J. Harrison - First Analysis Securities Corporation, Research Division: All right. And as I look at the Alkali business, it sounds like the pricing in Asia is improving, and you mentioned some higher costs that you encountered during the first quarter. So as we look into Q2 for margin there, should we expect a pretty meaningful step up there or are there other costs that we should keep in the consideration? You mentioned the coal contract as well, so a lot of moving pieces.
Pierre R. Brondeau: I think there is a lot of -- lots of moving pieces for us in Alkali. Through the year, the trend is up in term of margin. I'm not going to say today it is dramatically up. I mean, it's -- in our forecast, we were looking at a stronger margin in Q2 than we would look in Q1. The positive for us, the 2 big positives are the volume and a better utilization of our assets, the plants are operating extremely well. I must say we had 4 tremendous months so far, including April, and pricing is going up. On the negative, we have coal, which is still a challenging situation for us. Now realize that when we forecast, and we're going to stick with that for a while until we have better clarity, we are not forecasting major changes in pricing. Today, the price, overall, for us in the first quarter year-on-year were up in the mid-single digits, around 5%, mostly driven by price in Asia. When we go forward into the rest of the year, we are forecasting not as much as a year-on-year increase because we are not speculating on any inflection points on Asia prices. So right now, despite the fact that we have a mid-single-digit price increase and double-digits year-on-year price increase in Asia, we are still forecasting pricing, overall, to be in the low-single digits for the year because we are not speculating on pricing until we understand better where the markets are going. The trend is positive. We've been burned before, so we're careful. So to answer your question, slightly up on volume and pricing, with adverse effect of coal price.
Operator: Your next question comes from the line of Peter Butler with Glen Hill Investment.
Peter Butler: Pierre, considering all your contract obligations, et cetera, is there a rule of thumb on what would be the P&L impact on FMC if soda ash prices rose 10% in a year?
Pierre R. Brondeau: If soda ash, on average, goes up 10%, overall. I mean, think about -- we are selling about 4 million tons -- call it, 4 million ton of soda ash in the world. The 10%, on average price would be something in between $10 and $15 per ton, so you're talking about a number around $60 million of EBIT impact, if I did the calculation right. So that's the kind of number we're talking about. That is the range.
Peter Butler: If you have the opportunity to declare victory on your 2015 goals, when would you take the victory lap and perhaps set some goals for 2020?
Pierre R. Brondeau: Actually, that gave me a good opportunity to tell you how we're going to be doing that. What we are planning to do is we are working today the Vision 2020. And we're going to have a series of session with our board. That will end by October or November to have a Vision 2020 for FMC Minerals and a Vision 2020 for FMC, the New FMC. What we will do is we will hold a Vision 2015 -- a Vision 2020 Investor Day in December. The way we look at it is we will first see where we are, because when you are at the end of 2014, you should be able to say if you will reach your 2015 goal. And we'll be in 2015, so we'll start the day by looking at FMC as it is today versus 2015, and if we should take a victory lap. And then we will present Vision 2020 for FMC Minerals and Vision 2020 for New FMC. Now I can't tell you versus Vision 2015 highly, highly confident that we will beat 2015 in ag. Very strong confidence around Health and Nutrition. Looking at the evolution of Lithium, I believe we will be able to declare victory. The only place where we have a question is on parts of the Alkali business, soda ash. We know, first, in Vision 2015 everything we wanted to do around plants, capacity, we will; around domestic market, we are online. The only question mark is Asia pricing and export pricing. So where we are today around Vision 2015, I think we're going to hit the mark everywhere, except in half of the sales of soda ash, which today we just don't know. I mean, it's still 1.75 years away. We are seeing positive trends but we don't have the answer.
Operator: And your next question comes from the line of Rosemarie Morbelli with Gabelli and Company.
Rosemarie J. Morbelli - G. Research, Inc.: Pierre, on the Lithium, you said that you are processing about half of your production into downstream products. Those are higher-margin products, if I am not mistaken. Is it at all possible for you to move more than half of your production into downstream?
Pierre R. Brondeau: No. It is difficult, Rosemarie, because, let's face it, our high-margin product -- and butyllithium is one of the products which is complex to do, too complex to move around, for which you do have higher pricing and higher margin. But there is a single-digit growth for this market. The growth is mostly coming from primaries: carbonate and hydroxide. So if you look over time, the business will continue to grow. We do expect to see a low-double-digit growth rate, but it will happen mostly because of growth in the primaries, which tend to have lower margin than a product like butyllithium.
Rosemarie J. Morbelli - G. Research, Inc.: Okay. And I was wondering, as you are moving more into crops like corn and soybean, are you -- you are now going to go against a bigger player. So are you anticipating more volatility? Are you anticipating more pricing pressure? Or are your offerings totally different from what they are offering?
Pierre R. Brondeau: Yes. I think the way we are evolving, I think, in this -- I don't want to sound arrogant, but I think we're looking at ourself as a big player now. And we believe we have the technology capabilities to compete with anybody on the chemicals front. So we do have unique offering, which differentiate ourselves. It doesn't mean that a company like a Monsanto or Syngenta, which clearly have a broader spectrum of product, we're going to go head-to-head against them with respect of their business. But we believe we have a technology portfolio which is such that we can make very interesting offering to our customers in highly technical places where we'll protect our margin. Don't confuse what I say with us deciding to grow very broadly into soy and corn with competitive products, lowering our margin. We're going to stay very technical, very specific. But yes, we believe we have the size today and the reach, which allows us to compete in most markets.
Rosemarie J. Morbelli - G. Research, Inc.: That is very helpful. If I may ask one last question. Looking at the complexity of the separation, could you give us some idea as to the elements which are making it take so long to achieve?
Pierre R. Brondeau: Our timing, and I'll ask Paul to jump in. But our timing for separation, if you look at any of the other companies which have done separation in the past or which have -- which are in the process of separating, the timing, we are still targeting the end of the first quarter. So it's about 1 year from the vote of the board to the actual separation is about standard. There is lots of complexity. Think about the number of legal entities a company will have which will have to be changed. Think about system like IT and being able to replicate that. So we are very much in the norm. Paul, do you want to add?
Paul W. Graves: Yes. No, look, I think there's nothing particularly unusual about what we're going through. It's logistical [ph] legal tax and regulatory transfers and approvals that take by far the most time. They just take time going through various authorities to get the sign-offs that you need. We obviously have to perform separation of some functions, whether that's the finance functions, computer systems, et cetera, which also take some time. And we also have to have one eye on the complexity around SEC reporting around 2 different entities and how that might factor in. So cutting through all of that complexity, it's sort of a 12-month process. No matter which way you cut it, driven largely by factors outside our control.
Pierre R. Brondeau: I think what we really want to do is, I mean, of course, when you do a separation, you want to happen -- that to happen as quickly as possible. But we are building 2 great companies for the long run. It would not be appropriate for us to take any risks to shorten this process by a couple of months that would not make a difference in the long run. And we do not want to take any risk. We want to have a flawless process in 2 companies ready to go from day 1. So the timing is appropriate. We believe we are on track, but we will not rush the process. The other thing we are doing is isolating our business organization from this process. We need to make sure they keep on focusing on technology and customers and running their plants. So it's also something we have to take into account during the process.
Alisha Bellezza: I want to thank everyone for joining us today. That's all the time we have for the call. I'm available for additional questions that you may have. Have a great day.
Operator: Thank you. This concludes the FMC Corp. First Quarter 2014 Earnings Release Conference Call. You may now disconnect.